Operator: Good day. And welcome to The Manitowoc Company, Inc. Fourth Quarter and Full Year 2024 Earnings Conference Call. All participants will be in listen-only mode. Please note this event is being recorded. I would now like to turn the conference over to Ion Warner, Senior Vice President of Marketing and Investor Relations. Please go ahead.
Ion Warner: Good morning, everyone, and welcome to our earnings call to review the company's fourth quarter and full year 2024 financial performance and business update as outlined in last evening's press release. Joining me this morning with prepared remarks are Aaron Ravenscroft, our President and Chief Executive Officer, and Brian Regan, Executive Vice President and Chief Financial Officer. Earlier this morning, we posted our slide presentation on the investor relations section on our website, manitowoc.com. You can use it to follow along with our prepared remarks. Please turn to slide two. Before we start, please note our safe harbor statement in the material provided for this call. During today's call, forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 are made based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied or actual projections due to one or more of the factors, among others, described in the company's latest SEC filings. The Manitowoc Company, Inc. does not undertake any obligation to update or revise any forward-looking statement, whether the result of new information, future events, or other circumstances. And with that, I'll now turn the call over to Aaron.
Aaron Ravenscroft: Thank you, Ion, and good morning, everyone. Please turn to slide three. In the wise words of Winston Churchill, a pessimist sees the difficulty in every opportunity. An optimist sees the opportunity in every difficulty. You can draw from our financial results, we faced plenty of difficulties during 2024. I'm proud to say that The Manitowoc Company, Inc. team pursued every potential opportunity with great enthusiasm and optimism. It's inspiring to see the level of motivation and passion throughout the company. For example, during the year, we set a new record with $629 million in non-new machine sales. We grew our field service technician count by 7% to over 467 team members. We launched thirteen new cranes, including the next generation EV self-erecting tower crane and the MCT 2205, which is the largest tower crane that we've designed and built out of our China operations. And we renegotiated our debt to improve our liquidity and extend our tenure. I'd like to express my sincerest gratitude to The Manitowoc Company, Inc. team for a hard-fought 2024. For the full year, we reported $2.2 billion in sales and $128 million in adjusted EBITDA. We generated $100 million of free cash flow during the fourth quarter and ended the year with $321 million in liquidity. Please turn to slide four. Turning our focus to the Manitowoc Way, I'm extremely proud of the team's achievements. First and foremost, in terms of safety, we ended the year with an RIR or recordable incident rate of 1.19. This is the second-best result in the company's history following a phenomenal year in 2023. In addition, we reduced our first aid incidents by 25% year over year and saw a significant reduction in the severity of our lost time injuries. 2024 was arguably the safest year in our 120-year history. Nevertheless, our goal still remains zero injuries, and the team continues to find ways to improve. We also continue to forge ahead with our environmental-related Kaizens. In addition to the benefits to the planet, these initiatives have been pretty darn good for our pocketbook. During the year, we reduced our greenhouse gas intensity by 6%, which equates to roughly $100,000 in savings. Since 2019, when we set our baseline for this metric, we've reduced our intensity by 36%. Lastly, I'd like to recognize our maintenance team in Portugal, who won our annual Manitowoc Way lesson learned award. Thanks to their ingenuity, the team built an automated tester for welding torches that only cost fifty euros. Previously, we fixed upon failure, which could cause serious quality problems and significant loss of time. In addition to this invention, over the past two years, the team has done an excellent job integrating different IoT tools to track TPMs on our machine centers, modifying our papers to reduce our emissions and gas consumption, and applying 5S to our maintenance area of the plant. Obrigado to the team, and congratulations. Please move to slide five. Turning our attention to the market, we generated orders of $516 million during the fourth quarter. Our backlog ended the year at $650 million. Regionally, the Americas rebounded in the fourth quarter following the US election. Customer sentiment has significantly improved post-election. Dealer inventory levels remain reasonable, utilization rates at crane operators have been strong, and rental rates have held steady. There's optimism about future demand. In Europe, the situation remains complicated, but there are a few positive indicators that suggest the European tower crane market is gradually recovering. For the second quarter in a row, our orders for tower cranes grew modestly year over year. While the French market remains weak, this has been offset by growth in Germany, Italy, and the UK. In Italy, a new incentive plan called Transione 5.0 has been announced. Of course, we are keen to see the impact of the upcoming German elections. Regarding France, I visited our two largest dealers and four major customers. Overall sentiment has yet to improve. All said, uncertainty still exists, but I'm hopeful that there is some recovery in 2025. For EU mobiles, in spite of the difficult economic environment in the region, demand for all-terrain cranes has been relatively stable. We continue to benefit from recent product introductions and our significant improvements in quality and service. As a reminder, the Munich Bauma event is just around the corner. We're excited to showcase our new products as well as a variety of our new aftermarket offerings. This show is always a good barometer for how Europe will shape up over the next couple of years. If you plan to attend the show, we'd be happy to host you. Turning to the Middle East, the overall market remains robust. Fourth quarter orders were up over 44% year over year. I visited the region in December, and the situation remains the same in Saudi Arabia. While funding is tightening, numerous projects in the kingdom need to be completed to host the 2029 Asian Winter Games, the World Expo in 2030, and the World Cup in 2034. To put this into perspective, a total of 780,000 hotel rooms will be needed for the World Cup alone. Three stadium projects have been awarded, with another seven due to be granted. As for NEOM, one of these stadiums will be integrated into the line. Although it may take some time before the 170-kilometer vision for the line is completed, the airport project is already underway, and the initial modules are in progress. The Asia Pacific market is a mixed bag. There are no signs of construction recovery in China, and overall, competition with Chinese exporters has never been more intense. The biggest surprise during the quarter, however, came from South Korea. Due to the recent political upheaval, we had a couple of cancellations and a few hot deals that dried up, worth roughly $8 million in sales. Lastly, Australia continues to be steady. The mobile business continues to be stable, and demand for tower cranes is gaining steam with new product deliveries and a robust aftermarket. With that, I'll pass it to Brian to walk you through the financials before I close with an update on our strategy.
Brian Regan: Thanks, Aaron, and good morning, everyone. Please move to slide six. Despite entering the fourth quarter with a lot of uncertainty around the US election, our results were generally in line with our expectations and the guidance previously provided. To summarize, total revenue for the quarter was $596 million, and we achieved trailing twelve-month non-new machine sales of $629 million, a record high. Furthermore, we made significant improvements in reducing our inventory, generating $100 million of free cash flows to bring our leverage back below our target of three times. We had customer payments that slid into 2025, impacting our ability to achieve the cash flow guidance. Specific to fourth quarter results, orders were $516 million, an increase of 8% from a year ago. Notably, European tower crane orders were up year over year for the second quarter in a row. It is encouraging to see some early signs of a potential recovery. December 31st backlog was $650 million, a year-over-year decrease of 29%. Net sales in the fourth quarter were $596 million, flat versus a year ago. A year-over-year decrease in the Americas was offset by stronger non-new machine sales. SG&A expenses were $77 million, which included a $1 million charge related to a legal matter with the US Environmental Protection Agency. Excluding the impact of this charge, SG&A expenses as a percentage of sales were 13%, flat year over year. Our adjusted EBITDA for the fourth quarter was $35 million, a decrease of 4% year over year. Adjusted EBITDA margin was 5.9%, a decrease of 20 basis points. Our GAAP diluted income per share in the quarter was $1.59. On an adjusted basis, diluted income per share was $0.10, an increase of a penny from the prior year. Please turn to slide seven. Looking at the full year, 2024 orders totaled $1.923 billion, an 8% decrease year over year. Net sales for the full year were $2.178 billion, a 2% decrease over the prior year. Our non-new machine sales were $629 million. Reflecting back to 2020, the year prior to embarking on our Cranes Plus 50 strategy, non-new machine sales were $376 million. Since then, we have grown our non-new machine sales by over $250 million, or 67%. This reflects great progress in executing our strategy to grow the less cyclical, higher-margin aftermarket business. Adjusted EBITDA for the year was $128 million, a decrease of 27% year over year. Adjusted EBITDA margin decreased 200 basis points over the prior year to 5.9%, primarily due to product mix and under-absorption of fixed costs. The year-over-year adjusted EBITDA headwind of the European tower crane business was $32 million. On a GAAP basis, our benefit for income taxes in the year was $44 million. This includes a non-cash benefit of $56 million related to the release of a valuation allowance. On an adjusted basis, our provision for income taxes was $12 million. This includes $4 million, or $0.10 per share, of non-operational discrete items that were not considered in our guidance. Our adjusted diluted earnings per share was $0.41. Turning to slide eight, during the year, we generated $49 million of cash flows from operations and had capital expenditures of $45 million, of which $5 million was related to strategic rental fleet growth. This resulted in free cash flows of $4 million and an ending cash balance of $48 million. The lower-than-guided free cash flows were the result of the timing of shipments at the end of the year, resulting in a delay in cash collections into 2025. Net working capital as a percentage of sales at the end of the year was 21%, flat compared to the prior year. Our build plan adjustments were effective in getting our net leverage to 2.66 times, below our targeted three times. Total outstanding borrowings under the ABL increased $19 million during the year, with $79 million outstanding at year-end. With the successful refinancing of our debt during the year and the related incremental availability under our ABL, total liquidity was a healthy $321 million. Please turn to slide nine. As we look ahead to 2025, the one consistency is that uncertainty persists. For the US market, the positive sentiment we heard in May at our Crane Days event is coming back. There are still questions as to what will happen to interest rates and the effect of any tariffs. While there is some optimism in Europe for the first time in a while, any improvement is expected to be slight. Asia continues to be a challenge, and the competition in the Middle East remains fierce. As you can see on the slide, the midpoint of our 2025 guidance reflects a marginally better year with net sales of $2.175 billion to $2.275 billion. Adjusted EBITDA is expected to be between $120 million and $145 million. In addition, we expect to generate between $55 million and $85 million of operational free cash flows, excluding the impact of any potential payment to settle the EPA matter. While we do not provide quarterly guidance, I do want to note that the first quarter of 2025 is expected to be extremely light, more so than usual, as a result of the build schedule reductions we made in 2024. While historically, Q1 has provided approximately 20% to 25% of our full-year adjusted EBITDA, this Q1 is expected to contribute approximately half that amount. With that, I will now turn the call back to Aaron.
Aaron Ravenscroft: Thank you, Brian. Please turn to slide ten. 2024 was definitely a challenging year. The European tower crane market reached what we believe is the bottom of its cycle. Chinese competition intensified globally, compressing prices in emerging markets. And the Americas experienced a significant slowdown leading up to the election. Nevertheless, the team continued to push our strategy forward, finding pockets of opportunity for growth. Even in the weak European tower crane market, we were able to grow our non-new machine sales year over year. To stay ahead of the Chinese competition, we continue to introduce new tower cranes specifically designed for Middle East projects. For mobile cranes, we continue to aggressively service our customers with field service support, remanufacturing, and used cranes to support our Cranes Plus 50 strategy. And in the Americas, we continue to expand our service locations. In addition to upgrading our locations in Phoenix and Baton Rouge, we recently announced the acquisition of certain crane assets and territories in North Carolina, South Carolina, and Georgia. We continue to transform The Manitowoc Company, Inc. through the execution of our Cranes Plus 50 strategy. Just consider the progress that we made since 2020. First, non-new machine sales in 2024 were $629 million, a 67% increase compared to 2020. Second, we increased our field service tech population to 467 techs in 2024, an increase of over 100% since 2020. Third, in the US, we added sixteen service locations, compared to just one location in 2020. In addition, we added service shops in Lima, Peru, Barnsley, UK, and Maru, France. And fourth, gross profits from non-new machine sales in 2024 were $208 million, a 64% increase since 2020. Although we can't control the ebbs and flows of the crane cycle, The Manitowoc Company, Inc. has a strong reputation for managing it utilizing the Manitowoc Way. I'm convinced more than ever that our Cranes Plus 50 strategy is the key to breaking this cycle's grip on our business. As a reminder, non-new machine sales are significantly less volatile than the new crane market and have average gross profits of roughly 35%. Our goal is to consistently generate stable and substantial returns on our capital regardless of the crane cycle. Cranes Plus 50 provides us a blueprint to achieve this. With that, operator, please open the line for questions.
Operator: We will now begin the question and answer session. Our first question comes from Jerry Revich with Goldman Sachs. Please go ahead.
Brian Regan: Morning, Jerry.
Ion Warner: Hi, Jerry.
Clay Williams: Hey. You've got Clay on here for Jerry. To start off here, your guidance implies sales, you know, up a little bit here at the midpoint. Can you just talk about where that embeds things, you know, staying the same or getting better, just regionally? You know, you talked a little bit about it earlier. I was just curious what got embedded, you know, on a regional basis.
Brian Regan: Yeah. I think, you know, it's marginally better. I say year over year from a revenue standpoint, you know, we've got a wide range because there's a handful of possibilities that'll happen during the year. But, you know, I mentioned that we expect Europe to be slightly better, in particular on the tower crane side. You know, the US, slightly better, but Asia continues to be, you know, uncertain, in particular, South Korea. So, you know, I'd say it's a mixed bag, hence why we've got the large range in the guidance.
Clay Williams: Thanks. And, separately, on the non-new machine, can you talk about how used values for cranes have trended, you know, throughout the quarter and now as we head into 2025? Thanks.
Aaron Ravenscroft: Yeah. I mean, in terms of values on used cranes, it always depends on the age and the model of the crane. So, I mean, from my perspective, there's not been much change. Of course, sometimes whenever you go through some of these surveys, you know, the Ritchie Bros. numbers, usually those are cranes that are last resort. I mean, we're typically doing the deals directly, and those are cranes, I think, that have more interesting value or more interesting models to the marketplace. So from my perspective, prices haven't gone down or up.
Clay Williams: Thanks. I'll pass it on.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Ion Warner for any closing remarks.
Ion Warner: Thank you. Please note that a replay of our fourth quarter 2024 earnings call will be available later this morning by accessing the Investor Relations section of our website at manitowoc.com. Thank you, everyone, for joining us today and for your continuing interest in The Manitowoc Company, Inc. We look forward to speaking with you again next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.